Operator: Good afternoon and thank you for standing by. Welcome to Zenvia’s Q1 2022 Earnings Conference Call. Today’s speakers are Mr. Cassio Bobsin, Zenvia’s Founder and CEO and Shay Chor, Investor Relations Officer. Please be advised that today’s conference is being recorded and the replay will be available at the company’s IR website where you can also access today’s presentation. At this time, all participants are in a listen-only mode. After the prepared remarks, there will be a question and answer session. [Operator instructions] Now I would like to welcome one of your speakers for today; Mr. Cassio Bobsin, Founder and CEO. Sir, the floor is yours.
Cassio Bobsin: Hello, everyone, and welcome to Zenvia’s Q1 ‘22 Earnings Call. I’m Cassio Bobsin, founder and CEO. Today I will present the key highlights of our first-quarter results, which demonstrate that we’re off to a strong start of the year. Let’s start with Slide 4. Q1 was again a very strong quarter for Zenvia. We continue to deliver stunning revenue growth and robust gross margin expansion on a year-over-year basis. Revenue went up 61% for Q1 ‘22 compared to Q1 ‘21, including the effects of acquisitions of D1 and SenseData. Organically, our growth reached the 36% for the quarter, both numbers are ahead of our ‘22 guidance. It’s just the gross profit doubled in Q1 while gross margin expanded 6.5% points to almost 34%. Let’s now take a closer look at the bottom of our acquisitions and respective integration processes. Following our decision to speed up the D1 integration process in mid-February, teams are not fully integrated. Also, we have initiated extracting synergies on the co-side, including suppliers and systems, and began cross-selling. We can now offer highly customized journal illustrations and a much more comprehensive suite of products and services for the brands that want to raise the bar in their customer journeys. SenseData back-office activities and structures are also fully integrated with team integrations still in process. We expect to start in the wake of the platform and cross-selling in Q3. As to Movidesk, we announced the closing of the transaction last Tuesday. We expect to start integration in Q3. Let’s talk in more detail about Movidesk in the next slide. Movidesk is a perfect an absolute complementary addition to our ecosystem. Their helpdesk solution is focused and designed for solving the pains of Brazilian companies. It’s user-friendly, easy-to-use platform in Portuguese, charged and [indiscernible] and most importantly our other clients to pay for the features they really need, a huge competitive advantage in terms of cost-benefit versus the global shifts. And this is not just our opinion. Major review sites also attest to the platform’s excellence. In less than six years, Movidesk grew to attract 2,500 customers who are currently providing an ARR of BRL 46 million. Just to compare, the company ended ‘21 with revenues of BRL 33 million, approximately double that of 2020. On top of this accelerated growth, given its SaaS model, it adds a recovery revenue profile with a high gross margin of around 70% which will possibly impact our own margins moving forward. The acquisition of Movidesk started off our M&A strategy to position Zenvia as a SaaS company aiming to provide brands with a unique platform for unified end-to-end customer experience communications in Latin America. We are very proud to have acquired all the companies that were in our Plan A. In other words, we acquired the exact companies with the exact capabilities we had in our strategic plan, and the benefits are already visible in our revenue growth and gross margin expansion. Even though we have only just begun to structure this without even starting to consolidate Movidesk. We’re also very proud of our organic growth and how we were able to use the proceeds from the IPO to substantially increase our investments in R&D. In ‘21, R&D spending reached 12% of our revenues up from 2% in ‘20. We expect this level to continue in the next couple of years allowing us to launch new products that will significantly leverage our growth and marketing position. And the launch of Zenvia Campaign in April attests to the efficiency of our strategy. Zenvia Campaign is an intuitive, effortless, and prompt campaign creator that was launched to meet a highly demanded need, a tool through which our clients can manage marketing campaigns across various channels. With our solution, companies can now interact with their current and potential customers using a combination of direct and indirect channels allowing users to react in their actions in the channel they’re most active in contributing to a better experiences and ultimately better results. The tool has a time with engagement role that allows companies to initiate the first contact through WhatsApp and present another message at a scheduled period to be sent through a different available channel. It’s also possible to program the journey so that messages will always arrive at the most suitable moment. This is what we call orchestration. The solution also created an environment for the centralized management of the customer base regardless of the channel in which the conversation happened. But one of its most essential features is applying data analytics to convert the reactions from consumers into effective success metrics which can be used to improve the strategic decision-making process and achieve higher customer loyalty and profitability. As I’d like to say, we analyze every step of the customer journeys, transform them into superior experiences to benefit them, the brands, and ultimately us. As you can see, the proceeds from our IPO were critically allocated to M&A and R&D, which put us exactly where we plan to be at this moment contributing to our accelerated transformation into a SaaS company. I will now pass to Shay who discuss our key financial metrics in more detail, and that will be available for the Q&A.
Shay Chor: Thanks, Cassio. And hello, everyone. Let’s take a deeper dive into our results. Our revenue in the quarter was greatly boosted by the combination of organic growth, solid client retention, and acquisitions. Our client base went up 21.7% to 12.4 thousand clients. While our net revenue expansion rate ended the quarter at 122% up by 13 percentage points year over year and leading to an organic growth of 36% as you can see in the chart on the right. The combination of this organic growth with the BRL 30.7 million from D1 and SenseData brought our total revenues up 61%. And as Cassio mentioned, both our organic and total revenue grew above our provided guidance for 2022. Another important highlight is the quality of our revenues. Out of the total, revenues from Beyond SMS Termination were 41% for the quarter in line with what we guided in our less earnings call for Q4 ‘21. With the consolidation of Movidesk as of May, we expect this mix to be closer to 45%. And the best indicator that our revenue mix is moving in the right direction is the improved profitability as you can see in the next slide. As we promised during our IPO, we continue to expand our profitability. Adjusted gross profit doubled when we compare Q1 ‘22 to Q1 ‘21 with the adjusted gross margin expanding 6.5 percentage points to almost 34%. As you can see in the chart to the right, almost 80% of our adjusted gross profit in the quarter already comes from Beyond SMS Termination, which is a direct result of our diversification strategy and recent acquisitions to become a SaaS company. In the first quarter alone, we have already achieved one-third of our adjusted gross profit earning the entire ‘21 year in absolute terms. And this without even starting to consolidate Movidesk, cross-selling SenseData or recording gains from new products, such as Zenvia Campaign. In terms of EBITDA, our non-GAAP adjusted number was negative BRL 9.5 million in Q1 and includes earn-out expenses related to the acquisitions of TotalVoice and Sirena. When we exclude these non-cash expenses, adjusted EBITDA in Q1 ‘22 was negative BRL 7.6 million. As Cassio highlighted, we are off to a really strong start of the year, which makes us confident to rate our 2022 guidance and excited about the opportunities ahead. With this, we conclude our prepared remarks and we can now take your questions.
Operator: [Operator instructions] Our first question comes from Cristian Faria, sell-side analyst from Itau BBA.
Unidentified Analyst: So I think my question here is regarding the gross profit margin. So we saw that the mix of products here is stayed almost flat quarter over quarter. And then when we compare to the last quarter of the year when we know that we had a higher sense of knowledge of the SMS business. I think that the main point we need to address is that if this improvement in the gross margin that we saw here recovering the 4.5% from the last quarter it’s related to the SMS business, and what has driven this improvement here?
Shay Chor: Thanks for the question, Cristian. I’ll let Cassio run through this. Before Cassio talks about it, the main reason was that we negotiated some inflation pass-through with some large clients. And that’s the main reason. It happened in Q1 and it’s going to happen again in Q2 with another client. This is important because we’ve been getting a lot of questions and concerns from investors about their ability to pass on prices in this commoditized business. And I guess the results speaks for themselves. Cassio, do you want to add anything on that?
Cassio Bobsin: There’s a bit of seasonality on the SMS sides considering the quarter-over-quarter analysis. That’s why we prefer to look at the year over year, so we can see the big trends here of Beyond SMS’s revenue is growing at a faster pace and having a better gross up margin and then moving our whole company to those margins up through the trajectory.
Unidentified Analyst: Okay, thanks. 
Operator: [Operator Instructions] And now we move on. The next question comes from Andrei sell-side analyst from UBS..We are now opening the audio so that you can ask your question live. Please go ahead. 
Unidentified Analyst: Hi, Cassio and Shay. Thanks for the call here and the opportunity to make this question. I have a couple of questions to begin. On the first one, could you give a little more color on the organic growth and what was the main driver on this front if it was price increase or volume. And the second one is on Movidesk integration. Is there any specific aspect of the process that you believe is more challenging and how comfortable are you guys in terms of maintenance of growth base and gross margin seen in 2021 on Movidesk in the upcoming quarters?
Shay Chor: On the Movidesk, let’s start with that. Cassio, do you want to talk about Movidesk, and then we come back to…
Cassio Bobsin: Yes, please. First on the Movidesk deal, it was on our plan for the IPO to acquire companies on the markets that we wanted to enter and to participate and Movidesk was the last one in our IPO plan. We finished our first phase of the M&A strategy for the years that precede the IPO and Movidesk specifically adds the possibility for companies to manage customer support with a whole set of rules and process structuring based on their solution. That’s for us a very important part of the customer journey because there’s a lot of opportunities to help companies to improve their experiences by adding better customer support. And what they experience by combining all of that with Zenvia is that we have lots of demand for that kind of solution, so there’s a lot of demand currently coming from say the customers. So we already having customers starting to use Movidesk up over the demand that we come from Zenvia and over time integrating Movidesk into our platform will hugely benefit from all the core of the platform, which means having other solutions attached to the core of the platform so companies can benefit from the whole journey being managed by our platform. And also on the side of communication channels automation with chatbots, data integration, there’s a lot of things that we plan to bring to Movidesk customers that will add lots of value for these customers. And not even mentioning the cross-sell opportunity that’s already happening, but as we integrate both solutions, we expect to have lots of customers coming from one of our other solutions to add Movidesk to their suite of solutions being used from Zenvia. So we’re very excited about that. We are looking at the first days of integration, lots of things to do. But at the same time, lots of opportunities to unlock in terms of value for customers coming from Zenvia and also from Movidesk.
Shay Chor: And on your first question, Andrei, on the growth. It’s been obviously a combination of client base and net revenue expansion. The net revenue expansion has higher -- is more relevant, right? We’re talking about a 122% net revenue expansion over a client base of almost 12,000 plants, right? So the net revenue expansion plays a more relevant role, but it’s been a combination of that. And obviously, some inflation pestering the SMS business, as I mentioned, but the majority is volume-based and more sales. And we expect as Cassio mentioned with the integration of not only Movidesk but also fast integration from a product perspective of SenseData, and the one that going forward, the cross-sell and upsell will be important to continue with a healthy net revenue expansion. I have one question here for you, Cassio, on the web. You mentioned in your prepared remarks about the first phase of M&A. Can you elaborate your plans going forward balance between M&A and R&D? How you’ve seen things?
Unidentified Analyst: Got it. Thank you.
Operator: I have one question here for you Cassio on the web. You mentioned in your prepared remarks about the first phase of M&A. Can you elaborate your plans going forward balance between M&A and R&D? How are you seeing things?
Cassio Bobsin: Yes. Looking from this combination of growth coming from M&A and R&D, historically, where they have been structuring lots of these innovation through M&A. That’s why Movidesk was our kind of acquisition. And since the IPO, we’ve been adding lots of capabilities of R&D. Just to get a better idea, before like in 2019, we had almost 2% of our revenues being invested in R&D. Nowadays, we have around 12. And that capacity of having more investments in R&D is what is resulting in the whole evolution of our platform. And the launch of Zenvia Campaign is one of these examples that we can combine M&A with R&D, bringing a more complete suite of solutions to our customers. And looking from the strategic perspective, and what we’ve been doing in terms of evolving that portfolio, our plan for the IPO was to complete our first phase of our set of solutions that we understand were what we needed to have in terms of portfolio to consolidate our position as a CX platform. And that’s exactly what we did. We acquired just before the IPO Sirena and then during the IPO we acquired D1 and Smarkio, and afterwards, SenseData and more recently Movidesk. And we a couple of weeks ago launched Zenvia Campaign. So with these set of solutions, we understand we have our plan fulfilled in terms of portfolio. Of course, we intend to invest more, we evolve the solutions, so we can capture even more market demand. And looking at the future, we intend to keep that strategy of investing more R&D because we have lots of opportunities on the platform side on evolving the platform and its core capabilities, and also launching some more specific solutions for specific niche markets. And that’s why we expect to combine both the R&D investments at this phase of 12% in terms of [indiscernible] And also keep our M&A strategy active so we can move to our second phase of acquisitions that will open our thesis to more possibilities in terms of market consolidation, in terms of international expansion, and also to bring more value as a mission to specific niche markets, although we’re very happy with what we cover indeed, and we, of course, having the use of proceeds of the IPO direct that to consolidate that strategy in its first phase.
Shay Chor: Another one from the web here. Cassio, can you elaborate more on the inflation pass-through how has been the process on the SMS businesses been different for large clients and small clients? Can you help us understand in how that goes?
Cassio Bobsin: Yes. In Brazil, we’re used to inflation. So that’s not something that’s new to us. It’s part of our economic environment. What we have been structuring over these last years and we were able to fulfill that over the last couple of quarters is to attach a whole set of providers and customers so we can have a more predictable margin. So whenever we have any sort of impact on inflation at the same time we can pass through these to our customers and the contract base. And so we avoid any kind of movement and margins that would be great, but that kind of inflation peaked. So now we have almost all of our revenues and at some way tied to any kind of increase in terms of cost structure.
Shay Chor: Another one from the web here. Can you discuss Movidesk impact on your number especially EBITDA going forward? And can you share any targets for December ‘23 that are linked to earnouts? So let me start with this. As of now, we are not sharing any EBITDA specific for Movidesk. We’ve been only discussing on a gross margin level and it’s been around 70%. We believe can go up to around 75% at some point next year. The structure that we are paying for all M&As, not only for Movidesk is based on specific targets for the end of the earn-out period. And here specifically, we’re paying between six and eight times gross profit that would depend on the results. Roger, can you repoll for questions?
Operator: Okay. I'm going to check here. [Operator instructions] Okay. Then we have another question from Andrei sell-side analyst from UBS.
Unidentified Analyst: On the Zenvia Campaign project, could you share with us a little more details on the strategy to escalate and monetize the new service? If you can just share with us also what's the size that you expect for this solution to reach and in what timeline?
Cassio Bobsin: Yes. I'll go direct for this one. Andrei, thanks for the question. Looking at it's a recent product launch. We've been integrating a lot of with customers about how we can scale. We already have more than a hundred customers that hired this product. It's been doing pretty well in terms of acceptance and expect to grow and evolve into a very important solution that as part of our portfolio. And at the beginning of this, offering of this product is first as an upsell for customers that want to use some communication channel more actively. We're customers that come with a kind of demand. We upsell them to manage the company with us. It's like a new customer, but bringing the value of the campaign management along with that, with the demand they have for some sort of marketing campaign. That's of course bringing lots of traction and helping us to evolve the product pretty fast. We are looking also over time to combine this product with our other products that as we connect different dots along the customer journey, we see a very important interest from customers to use a campaign solution along with another solution that we have, so they can have, for instance, the campaign being managed by Zenvia Campaign. Then when the customers is going to engage into a sales process, then they use Sirena as a solution. The same goes for SenseData, they already have customers are combining with Zenvia Campaign with SenseData so it can bring data from your own systems and your own databases and use that kind of data to better contextualize campaigns for customers. This combination of our different solutions is something that we expect to really leverage. One solution can leverage the other, and that's something we've been working on, and having all the feedback and evolving with customers is starting to have that kind of combination of solutions that is, of course, the core main reason why we have been evolving that strategy and we already having traction on that. That's why we have a very good expectations for the future, not only on this solution, but also by the combination of these and other solutions that will be not only launching but acquiring and now combining them into the platform.
Unidentified Analyst: Okay Cassio. Thank you.
Shay Chor: Another one from the web here. Can you help us better understanding your OpEx given some swings in recent quarter? So G&A up, R&D down, and how the R&D of 13 million in Q1 compares to the 12% full year you shared earlier in your commentary. I'll start here and then I'll ask Cassio to help us here but the 13 million R&D you were talking about is OpEx only. So when we add the capitalized R&D in Q1 it was around 10% of revenue so closer to the 12%. But looking on a quarterly basis can get volatile, right? As you spend throughout the time. So you should look into a full-year basis and we expect R&D as percentage of revenues OpEx plus CapEx to remain in this 12% level. On the other OpEx lines, sales and marketing you should expect to be between 12% and 15% of sales. It can range. It depends on our ability if we believe there is room to accelerate, grow, or if things are difficult from a economic environment and we should decelerate. So it should range between 12% and 15% of revenues. And I don't know, Cassio, if you want to add anything on G&A. We had a one-off expense although we don't consider it specifically one-off, because it's business as usual, but we had a -- If you look into our results, you'll see in other expenses 96 million. There is one SMS contract that was terminated with unused SMS volumes that we booked as expenses. We expect to more than offset this with new contracts going forward until year end. And that's it on G&A. Cassio, can you help us on just G&A as percentage of revenues where it should be?
Cassio Bobsin: Yes, yes. And also, Shay, it's important to highlight that we have the earn-outs considered as expense for Sirena in G&A that we won't have in the near future because the earn-out period is close to the end. So that will get us an upside on G&A, saving on G&A. There is not a specific expense that's considered as expense as a matter of auditing and everything, but that is considered in the Q1, but this year we don't have this expense anymore. So that's one important point that we have in fact in the G&A.
Shay Chor: Roger. Can you check any more questions live? We don’t have anything as shown on the web as of now.
Operator: I’m going to check in just one moment. And this concludes our question and answer session. I would like to turn the conference back to Mr. Cassio Bobsin for his closing remarks. 
Cassio Bobsin: Well, thank you very much for the time. I’ve never intended to talk a bit about what I’ve been doing. And as I mentioned before, we’re very excited looking at the future and what we’ve been doing, we’ve been delivering the plan that we promised on EPO. We’ve been executing it, that last acquisition and the last product launch really exemplifies that. We’re now ready for our next phase of growth, integrating all these companies, and looking at all the synergies that we’ll be starting to extract from these acquisitions gives us a very good perspective on the future, the capacity to not only deliver our guidance, but also to evolve substantially in our strategy for the future hat. So thank you very much for the time and see you next time.
End of Q&A:
Operator: This conference has now concluded. Zenvia’s by our area is at your disposal to answer any additional questions. Thank you for attending today’s presentation. You may now disconnect. Have a nice day.